Operator: Good morning, and welcome to Sunnova's First Quarter 2023 Earnings Conference Call. Today's call is being recorded and we have allocated an hour for prepared remarks and question and answer. At this time, I would like to turn the conference over to Rodney McMahan, Vice President, Investor Relations at Sunnova. Thank you. Please go ahead.
Rodney McMahan: Thank you, operator. Before we begin, please note during today's call we will make forward-looking statements that are subject to various risks and uncertainties that are described in our slide presentation, earnings press release, and our 2022 Form 10-K. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. Also, we will reference certain non-GAAP measures during today's call. Please refer to the appendix of our presentation as well as the earnings press release for the appropriate GAAP to non-GAAP reconciliations and cautionary disclosures. On the call today are John Berger, Sunnova's Chairman and Chief Executive Officer; and Robert Lane, Executive Vice President and Chief Financial Officer. I will now turn the call over to John.
William Berger: Good morning, and thank you for joining us. The robust demand for our energy services, as described on our previous earnings calls, has persisted throughout the balance of the first quarter and into the month of April. This strong demand can be attributed to our ability to offer customers more affordable energy, higher reliability, and exceptional customer service relative to the centralized power monopolies. Our commitment to providing a superior energy service sets us apart as industry leaders. We provide responsive and reliable service to our valued customers, utilizing cutting-edge technologies to efficiently manage energy supply and demand through our Sunnova software platform, which powers our seamless Sunnova Adaptive Home, Sunnova Adaptive Business, and Sunnova Adaptive Community service experiences. Through our new National Operations Command Center, we are reimagining the way energy is delivered, consumed, and serviced. Our industry-leading service capabilities give us real-time data for the solar and solar plus storage systems we manage, allowing us to monitor and optimize these systems to ensure maximum efficiency and reliability. We are also focused on bolstering our highly experienced and professionally managed service team, while improving our logistics capability to meet the robust demand for our service and repair business. Our Command Center is a significant step forward in our ability to deliver a better energy service at a better price that meets the unique needs of each customer and drives progress towards powering energy independence. Quarter-over-quarter, we continue to deliver exceptional value to our customers and shareholders, while driving increased revenue, reducing loss of capital, and enhancing our brand. We have built our energy-as-a-service business model around these objectives, and we strive to ensure that the power flows at the reliability and price point our customers expect. Our dedication to providing exceptional service to our growing customer base is a key differentiator from our peers, and we will continue to invest in our technological, operational, and logistical capabilities to improve the quality and response time of the energy service we provide. Indeed, customers who have invested in solar and battery systems for their homes are starting to question the necessity of staying connected to the outdated and unreliable grid, especially as monopoly utilities raise their rates nationwide. In contrast to the centralized utilities, we are proud to offer our customers even greater savings through a more resilient, reliable, and sustainable energy service. On Slide 3 is a summary of our financial metrics for the first quarter. On our fourth quarter call, we noted that we expected to capture approximately 10% or $53 million of our full year 2023 adjusted EBITDA together with the principal and interest we collect on solar loans in the first quarter. We exceeded that target by $13 million through increased Sunnova Repair Services gross margins, lower than budgeted operating costs, and outperformance on loan prepayments. Slide 4 showcases the continued growth in Sunnova's customers, total solar power generation under management, battery penetration, and expected cash inflow over the next 12 months. During the first quarter, we placed 30,100 customers into service, which brought our total customer count as of March 31, 2023 to 309,300 and brought our total solar power generation under management to 1.95 gigawatts and megawatt hours under management to 801. These first quarter customer additions represented a 97% customer growth rate compared to the same quarter last year. Included in our customer count are cash sale customers originated through our new homes business and our service only customers who have either benefited from Sunnova Repair Services or purchased a Sunnova Protect Plan. We expect this customer class to generate approximately $1,000 of adjusted EBITDA per customer annually over an average contract life remaining of 17 years. Our strong customer additions to start the year coupled with continued robust customer origination gives us both the confidence and visibility needed to increase our customer additions guidance for 2023 by 10,000 customers at the midpoint. Additionally, our battery penetration rate continues to grow and reached 15.6% as of March 31, 2023, inclusive of over 2,857 battery retrofits we have performed life-to-date. Finally, we have updated our customer contract life and expected cash inflows. As of March 31, 2023, the weighted average contract life remaining on our customer contracts equals 22.2 years and expected cash inflows from those customers over the next 12 months increased to $553 million, an increase of 37% from March 31, 2022. I will now hand the call over to Rob, who will walk you through our financial highlights.
Robert Lane: Thank you, John. Starting on Slide 6, you will once again see the year-over-year improvement in our first quarter financial results. This includes a 146% increase in revenues and a 44% increase in the adjusted EBITDA together with the principal and interest we collect on solar loans. Revenues for the first quarter of 2023 included $59.9 million of revenue from inventory sales; excluding that number, our revenue increase was 55% On Slide 7, you can see the steps Sunnova recently took to strengthen its access to capital. Thus far in 2023, we added $105 million in additional tax equity funds as the tax equity market remains healthy. As we plan to continue utilizing tax equity partnerships, we are closely following IRS guidance on investment tax credit transferability as well as ITC adders. Depending on the outcome of this guidance, we believe in some instances transferring the credit may ultimately be more accretive than leaving it in a tax equity partnership. We expanded our warehouse capacity by $500 million. We have a long track record of successfully increasing our warehouse capacity to meet our growth. This includes expanding existing relationships and diversifying our capital partners by bringing new banks into the fold. We entered into a $50 million secured revolving credit facility to support our pivot to selling inventory to dealers. This facility allows us to borrow against the value of eligible inventory and eligible inventory accounts receivable, thereby improving our working capital position. We announced a conditional commitment by the U.S. Department of Energy Loan Programs Office, which John will discuss in more detail later in the call. We issued a $324 million TPO securitization that priced better than market expectations and below the weighted average yield of our November loan securitization, despite TPO typically pricing higher than loans. This improvement is another indicator that cost of capital is potentially stabilizing for our industry. And we completed the assignment of certain loans and commitments from Credit Suisse to Apollo affiliate Atlas SP. Included in our $602 million of liquidity as of March 31, 2023, are both our restricted and unrestricted cash, as well as the available collateralized liquidity we could draw upon from our tax equity and warehouse credit facilities. Given available unencumbered assets as of March 31, 2023, this available collateralized liquidity equaled $181 million. Beyond that, subject to available collateral, we had $215 million of additional capacity in our warehouses and open tax equity funds. Combined, these amounts represent over $800 million of liquidity available exclusive of any additional tax equity funds, securitization closures, including the one just priced, in the money interest rate hedges, or further warehouse expansions during the year. On Slide 8, you will see our fully burdened unlevered return on new origination increase to 10.6% as of March 31, 2023, based on a trailing 12 months. On a quarter-to-date basis, this return equaled 11% as of March 31, 2023, an increase of 180 basis points since March 31, 2022. We are forecasting further increases to our fully burdened unlevered return over the next few quarters. The implied spread for the trailing 12 months increased to above 500 basis points as our fully burdened unlevered return increased while our weighted average cost of debt remained unchanged. Our current view of the capital markets continues to suggest that the implied spread today has increased back to above 500 basis points and is moving towards 600 basis points. Slide 9 reflects the strong growth we have seen in our net contracted customer value, or NCCV. At a 6% discount rate, NCCV was $2.6 billion, an increase of 51% compared to March 31, 2022. Our March 31, 2023 NCCV at this discount rate equates to approximately $8,500 per customer and $22.68 per share. Slides 11 through 13 provide our 2023 guidance and liquidity forecast as well as our major metric growth plan, the Triple-Double Triple. As John noted earlier, given the strong growth we have experienced to start the year and the continued demand for our services, we are increasing our customer additions guidance for 2023 by 10,000 customers at the midpoint, bringing our updated guidance range to between 125,000 to 135,000 customers additions. There are no changes for our other 2023 guidance metrics. We captured 12% of our expected 2023 adjusted EBITDA together with the principal and interest we collect on solar loans in the first quarter above our 20% to 10%. As previously forecasted, we expect to capture an additional 20% or $106 million of this combined financial metric in the second quarter. As with our customer additions, there is certainly upside potential to our financial metrics, but we have elected to remain conservative and maintain our financial guidance ranges. As of March 31, 2023, over 90% of the mid-point of our total 2023 targeted customer revenue and principal and interest we expect to collect on solar loans was locked in through existing customers as of that same day, respectively. I will now turn the call back over to John.
William Berger: Thanks, Rob. Sunnova continues to innovate by finding new ways to not only provide great service to our customers, but also to fuel our growth and maintain our strong balance sheet. Our latest advancement is the recently announced conditional commitment by the U.S. Department of Energy Loan Programs Office to provide an up to $3 billion partial loan guarantee, which equates to a 90% guarantee of up to $3.3 billion of financing to support loans originated by Sunnova under a new solar loan channel named Project Hestia. This project, supported by the DOE loan guarantee, would provide disadvantaged individuals and communities with increased access to Sunnova's services by indirectly and partially guaranteeing the cash flows associated with those customers' loans. If issued, the DOE guarantee would support Sunnova customers that choose to finance their energy service through loans that include solar, storage, or other Sunnova Adaptive Home technologies that utilize Sunnova's purpose-built demand response, aggregation, and grid services enabling software, Sunnova Sentient. We anticipate the guarantee will support up to $4 billion to $5 billion in loan originations, reduce our weighted average cost of capital, and generate hundreds of millions of dollars in interest savings. The DOE's conditional commitment is expected to support grid reliability, improve access to clean energy, and enhance ratings and advance rates on our senior bonds. Importantly, this financing would allow us to realize issuance spreads commensurate with the expected credit uplift and introduce new investment grade investors to our long-term strategy. We expect the transaction with the DOE to close in the second quarter of 2023. The first quarter of 2023 was a strong quarter. Our execution continues to be superior as demonstrated by our continued gains in market share and increases to our total addressable market. Our energy-as-a-service business model increasingly demonstrates strong, profitable growth, not just growth at any price. Thus, we are confident in our ability to meet or exceed our 2023 guidance targets and we eagerly look forward to a healthy 2024. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question today comes from Philip Shen from ROTH. Philip, your line is open. Please go ahead.
Philip Shen: Hi, guys. Thanks for taking my questions. First one, it looks like your cost of capital should be coming down ahead and this should serve as a tailwind for spreads to go to 600 basis points. Can you talk about how the rapid decline of module storage and other equipment pricing is benefiting your cost structure? How much has pricing come down for modules and storage? What do you expect to head for inverter pricing ahead? And what is your latest SolarEdge-Enphase mix? And how could that evolve? Thanks.
William Berger: Yes. There is a general deflationary trend in our industry. We have - labor is definitely becoming much more available all the way from software to installers. Technicians, highly qualified like ours, are still a little bit harder to get, but even that's gotten a little bit more available. The equipment side of things across the board is very much in a deflationary cycle. And if you were to just look at an example here, go into the fourth quarter. I went to one of our major markets, pulled out an average equipment stack consisting of panels, inverters and ESS unit. And it was roughly about for a 8-kilowatt system about $15,100. And then if you look at the - where that same equipment prices here just a couple of weeks so ago, it's about $2,200 off. So it's about $12,800. That's about - that's equivalent to about 110 basis points of cost of capital. So it's a pretty significant move. It's what's going to help out consumers. It already has started and obviously helped out our dealers as well. Do we expect the - essentially it amounts to equipment price war. Do we expect that to continue? Absolutely. There's a lot of very high-quality partners that we have and they are out there globally. And we're seeing that kind of competition intensify not just here in the U.S., but also in Europe as well. So we - there's differences in quality amongst all, depending on who makes what piece of gear. Some folks are better at one than the other. But overall, we think this is a powerful tailwind. And then with the IRA and some of the other global incentives like in the EU, additional capacity is coming online. So we feel pretty good about we're going to see a lot better equipment, better pricing out there. And I think that's really been something that folks have missed as really being helpful to the marketplace.
Philip Shen: Great. Thanks John. Can you comment on the second part of my question there about the mix of inverters you have these days and how that could change in the coming year?
William Berger: I'd prefer not to, Phil. But what I would say is that - are we seeing some strong inroads by some additional folks out there in the inverter side? The answer is yes. But we're also seeing a mix of competitors as they improve their storage product. A battery is not a battery. I think some people feel that way, but it's not. And there's a lot of differences in products. I think you've heard that from some of the - equipment CEOs and friends we have talk about their product and so forth. And so I do expect to see more and more folks show up. I mean it's a very lucrative if you - especially if you look at that part of the value chain, it's pretty lucrative, right, with the margin. So we're definitely seeing some inroads being made out there. But in terms of giving out the exact breakout and percentage, I'd prefer not to.
Philip Shen: Fair enough. As for my follow up here. In terms of Puerto Rico, the governor and others have announced plans to finance up to 30% of resi solar system installation costs. Can you talk us through what exactly is happening there? Might that slow down some originations for you guys in the region? And how could things evolve as we get through the year?
William Berger: Yes. So Puerto Rico origination is very seasonal. It's very boom bust, if you will. That's just the way the market works. And obviously, we started that market 10 years ago actually. It's our 10-year anniversary this month. And in fact, our Board meeting I just came back from was in Puerto Rico, it was in San Juan. So we greatly appreciate the governor and the people of Puerto Rico hosting us. We had a great time, learned a lot. And what you're referring to is there's a good bit of Federal money. Obviously, Project Hestia has been prominently mentioning Puerto Rico and broadening out the credit aperture, which we expect to do when we finalize the deals expected with the Department of Energy Loan Program Office. And what I would say is, is that there are some other Federal funds in there, some are the DOE, some are HUD. And the near-term program it's deploying capital right now is from the HUD department in - from the Federal Government through the local HUD Agency, if you will, for the territory of Puerto Rico. That has been a complete giveaway of solar systems. But let me be very clear about this, it's for very low income customers. So it's not applicable to middle class and certainly not upper class. And it's very limited in nature. So we had the opportunity, my Board and I, to meet with the governor actually a couple of days ago. And he's very gracious. He's very focused on getting the island to have a power system and an energy system that would lead the world. And as you know, we feel very strongly that post-Maria and a lot of the changes if that that was going to happen. And indeed is happening under his leadership and watch. Cares obviously a lot about the amount of economic activity, Sunnova and our competitors have put into the island in solar and storage. And we did make the point that there is a demand drop because people are waiting to see if they got something free and encouraged him to accelerate those programs and get that money out there to those - the very low income that need it. And he thought that was a good idea. So I'm convinced that we're going to see something here that looks pretty - much better and be more effective. And I think that we can work with the Department of Energy and others and the Federal Government to figure out how do we have more of a private-public partnership and actually turbocharge the market. And that's what the governor and everybody wants in the island of Puerto Rico. And we're committed to making that happen. So short term, a little bit of an issue. But we're coming out of it pretty strongly, and we expect to - actually that market to really move up strongly later this year, if not surge.
Philip Shen: Great. Thanks very much. I'll pass it on.
William Berger: Thank you.
Operator: The next question comes from Maheep Mandloi from Credit Suisse. Maheep, your line is open. Please go ahead.
Maheep Mandloi: Good morning. Thanks for taking questions. And nice to keep a pace here. Maybe one thing on the customer growth here. Could you talk about how should we think about growth in loan heavy states, Texas, Florida, Arizona, others. There was something which the industry kind of talked about, being - or seeing a slowdown in those states with interest rates going up? But just curious what are you seeing in those states?
William Berger: Yes, Maheep. Yes, that's interesting. Well, I would say let's take each of those that you mentioned, Florida first. The growth has been huge. 100% growth in that market, and it was actually over that. Year-over-year, we had one of the major dealers up 400%. I mean these are eye-popping numbers for us, I think for anybody. The TPO, and this is true across all these markets, has just skyrocketed. It's jumped up multiples of where it was just a year ago. And really in all cases, even where it was in Q4. So we've seen a decided shift to lease. One thing overall before I go into the other two states, before I forget, Maheep. We're seeing something close to 70% - about 70% lease to loan on the last few weeks of origination here. And if you put our accessory loans in there, that works out to be about 50-50. But if you're just to look at, I think, the comparable metric across the industry, you'd look at 70-30 and it's still climbing, which we expect to do, particularly as the ITC adders - or rules get issued and we were able to add that in. When you look at Texas, Texas is up pretty strong as well. We do see a big jump in the TPO as well. We see a lot of growth in Texas. We see a lot of battery upsales and such. And so we expect that market to continue to be very strong. It's obviously our backyards, nobody knows it better than us. And we're quite bullish on Texas. Arizona, just phenomenal, on fire. I mean the numbers, again, are very eye-popping. So we're not seeing any slowdown. In fact, I would tell you in states that I didn't think I'd be talking about this soon in the energy transition or transformation of the energy system and the power system. In the middle part of the country, Arkansas and Tennessee and Michigan, Georgia - the Southeast is a rough market. That's where I got my start in the power industry. We're seeing really strong growth. And so we're signing up more and more dealers. You can see that in our dealer account. And we expect to see even more broadening in our solutions and our customer growth than we even have now, which is pretty broad and certainly is not heavily weighted to California whatsoever.
Maheep Mandloi: As we think about the rest of the year and with the DOE loan guarantees, should we expect a pickup in the loan mix here? Or should that remain somewhat similar to what we saw in the last two quarters here?
William Berger: That's a great question. I don't know until we get out there in the marketplace, and then you have the ITC adders that come into play here, which way is this market is going to go. The straight answer is we don't know. But we certainly will fulfill our commitment to the Department of Energy. We don't have any - just given our strong growth, market share and total addressable market growth, we don't have any reservations about that at all. I would say that it certainly would probably without the Hestia deal would be higher when we talk about this, say, in 12 months in terms of loan lease mix. But what exactly - how much share, if you will, it would take away from an ITC adder lease, we don't know. If you put a gun to my head and said, hey, I want you to really guess, I'd say it's probably going to be about 5 to 10 points difference. So we ultimately end up where I expect an 80-20 lease loan mix. Maybe it ends up being 75 - 70, 75 and the balance being the loans with Hestia.
Maheep Mandloi: And then just one last one for me quickly on non-solar customers. I think you had like around 12,600 non-solar customers in this quarter. Should we expect a similar run rate here through the rest of the year? Or how you're thinking about that?
William Berger: Yes. We're seeing a very strong demand in our service-only business, very strong. There's a lot of orphan customers out there, 2.5 million and growing. And so we're seeing quite a bit of demand growth there. We're also seeing that the strategy of energy-as-a-service with providing additional services such as battery upsells, load management, upsells, EV charging, generators, everything to do with power, right, roofing to make sure the roof is good for our solar systems, that's got a huge tailwind to it. And there's a limitation, obviously, in the capital markets, given what's going on with the banking system. So that's really helped push more folks over to us. But it's really more about can I just get everything in one space and spot with a partner like Sunnova from the contractor's perspective. And that's really winning a lot of share. So the strategy is working. So we're not going to go and guide out to what exact breakout is, but we still expect strong growth there. But we're seeing, as I said - to be very clear about it, we're seeing very strong growth in solar inclusive of storage and on the other adders. So we're seeing strong growth across the board. There's nothing to pick on and say, well, that's showing a weakness. We're not seeing any weakness whatsoever.
Maheep Mandloi: Thanks. I'll jump back in the queue.
Operator: The next question comes from Julien Dumoulin-Smith from Bank of America. Julien, your line is open. Please go ahead.
Unidentified Analyst: Hi guys. It's [indiscernible] for Julien. Maybe just following up on the last question relative to the accessory loan mix that we're seeing, obviously, a very big jump this quarter. And then to your point, John, energy-as-a-service really seems to be taking off. I'm just curious. Is there any sort of - there's a lot of things in that bucket that you mentioned, whether EV charging or roofing or otherwise. Is there any sort of heuristic you can give us as far as like contribution to NCCV per customer or ticket size or something of that ilk so we can think about that customer versus, say, a legacy solar customer in the mix?
William Berger: Yes, Alec. First, I would say the way I look at it is I take the NCCV per customer and then just look at that ratio. And that of course, has been pretty strong. And if you look at, say, a solar-only type competitor or something, I'd invite everybody to do that calculation. And you can see that it's not a small difference. So we're creating a lot of value no matter what. We also don't - if we upsell a battery to a customer, just to remind you and everybody else, we don't call that as a separate customer. So that's another thing in here is that there is an increasing amount. It's becoming thousands of upsells that we don't count as a customer, so you don't see it on that count. So that's something just to remember. I would say storage is still the place where we see a lot more of the value, but generators are pretty good. It's just about the same ticket size, right? And then roofing has been a big one as well and growing, but not near as big as storage and generators. So I would leave it with - I still think that we can - it's very clear that we're generating value that would be commensurate with maybe a smaller solar system that is typical in some of the markets like Puerto Rico or Northern California or something like that. And at the end of the day, money is money. It's all fungible, and we're making it.
Unidentified Analyst: Just curious maybe on the - some of the gain on sale stuff. Rob, I know you had some commentary earlier in the call about some of the things you're waiting for on direct transfer or otherwise. Just curious if you can maybe help us with the moving pieces of when maybe some of the gain on sale stuff comes in. I saw the OpEx is a little heavy in the front, as you guys had mentioned. But curious just on that piece about how we should think about the overhead versus some of the gain on sale pieces through the rest of the year?
Robert Lane: Yes. Not a problem, Julien. I think that you'll see that in the shaping of our anticipated driving of our adjusted EBITDA together with our P&I, how that's more back-end weighted. And part of that is just making sure that the systems that are being originated now are sort of going into service next - in the second half of the year, and that's where we expect to take more of the gain on sale. The other thing to your point about the G&A. We do tend to see every time from the fourth quarter to the first quarter, a slightly higher jump in our adjusted OpEx. It's mostly related to some payroll charges not having to do with bonus accrual, but with the fact that sort of beginning of the year, taxes and the like, that's a bit more heavily weighted than the first quarter. And as we have also put into service more customers, typically in the fourth quarter than we have in the other quarter, we then tend to see the service burden increase as well from the fourth quarter to the first quarter. Just given how incredible last year's fourth quarter was that's been a little bit higher this time around. Whereas the sales and marketing side has tended to just increase a bit more ratably with our size. So I don't think there's really much there. But to your point, we would expect the margin of revenue to OpEx or the ratio of revenue to OpEx to start widening out again as we get into the second half of the year, we do have more of that gain on sale.
William Berger: Alec, I would add that increasingly, the service if business increases that cost to serve. It's obviously our technicians, the command center staffing. That cost will show up in that line and as well as some of our direct upsells on batteries and other accessories. So I would expect that trend to continue. But again, it should be offset by higher even higher customer adds. And again, everything that Rob just said, of course, is right. So you'll start to see some more operating leverage as we move forward. But again, the business is growing very, very fast. In fact, our challenge is not growth, period, full stop. And hopefully, our numbers start to get convinced folks, and we're very confident growing into even 2024 at this point because we just have really about 2.5 months left at the most of growth this year and the rest then we'll start booking into next year given the way the conservative way we count a customer. So we're seeing very, very strong growth, and part of that spend is into other areas such as commercial, international, building out the service a little bit more so we can take in more service customers or maybe building out the service a lot more. So there's a lot here that goes into growth that takes - there's a little bit of a gap, maybe it's two quarters, maybe it's a year depending upon new initiatives. But clearly, the numbers are showing more and more growth is showing up.
Unidentified Analyst: Yes, we're seeing in the customer line for sure. Thanks, guys. We'll take the rest offline.
Operator: The next question comes from Joseph Osha from Guggenheim. Joseph, your line is open. Please go ahead.
Joseph Osha: Good morning, folks. And so, I've got a bit of cold here. First question, just going back to the DOE LPO guarantee. I'm wondering if you have any preliminary thoughts about what that might look like when you hit the ABS market, say, relative to the 225 spread at Mosaic on their recent transaction? I know it's still speculative, but wondering if you could just maybe give us some sense as to where you think that's likely to end up.
William Berger: Yes. We would expect that the - we have a larger AA class bond that would be all the way from the top through what would traditionally be a BBB minus attachment point. But instead of having that trifurcated into AA, A minus BBB, we'd see that as a single class that could get potentially as high as a AAA type of rating. And therefore, we would expect to see the spread increase - sorry, decrease significantly even at that first attachment point, but then that spread them to be across the entire attachment point. So we could see a significant decrease in the weighted average spread. We would also expect that that would then allow through the DSCR to have a thicker single tranche than the combination of those other three tranches combined. Now the rating agencies may take a different view. But if you take a look at how it's structured, it's very similar to other government guaranteed type of paper where it's a set of cash flows that are guaranteed for the ABS investor at that attachment point. So we would expect to see a significant uplift there. But then that's going in part to go and hit the initiatives that the DOE and the government are trying to hit, which is to bring more solar to more people and to be able to do more aggregation and things that help with VPPs and the like.
Joseph Osha: So does that mean that, obviously, the guarantee helps probably we're going to see the FICO mix shift a little bit? And I guess I would like to try and pin you down to a number. Could we see this thicker a tranche price at, say, less than 100 over the relevant benchmark, do you think when all is said and done?
William Berger: I'm going to have you be our lead investor there. Thank you. But yes, you would expect to see lower FICOs go in, not materially lower FICOs, but definitely some lower FICOs in part because we do want to make sure that we're bringing solar to more folks. But we still do have to go through an underwriting process. And at the end of the day, we still have to make sure that however we bring those in their price to be able for us to price in some of the anticipated greater losses we would have with the lower FICO customer. The ABS investor will find that they are made hole, but we necessarily need to make sure that we are still out there doing our proper credit and underwriting, just going to a more FICO friendly attachment point, if you will.
Joseph Osha: And shifting gears, John, you've been talking about this rapid growth in TPO. We hosted a call yesterday with the Norton Rose guy. He was saying, at least in project land, no one's managed to pick up the domestic content at or yet in energy communities are it's still very early days. So I guess I'm trying to understand is, does TPO growth fuels just by the 30%? Or are you saying that you are actually successfully claiming some of the adders right now today? I'm just trying to understand that.
William Berger: Yes. To be clear, Joe. So we are not, just like everybody else coming in the adders and there's really - there's no adders, it's a little bit of domestic kind of very, very small in our fully burdened unlevered return, roughly about 11%, and we see that climbing. When the adders come in, we have more price increases, by the way, in the next few days coming in. And then I think what's going on is that the market is anticipating the adders coming in. And so therefore, especially our larger dealers, you don't turn on a dime, right? So you've got to prepare for that. But the other is that the loans because they're so much more sensitive to the interest rate increases, they've really, in many cases, zoomed over in cost to a lease regardless of adder or not. And so I think that, coupled with as the economy bites down as we have this deflationary environment, and we're seeing more struggles on economic growth to potentially recession, my opinion on that. And that will mean that fewer and fewer people actually have the tax capacity for claiming the ITC, which means that they need to go to a lease or PPA. So I think there's a lot of tailwinds here. The numbers are the numbers, right? So it's real. So that gives us more confidence that we'll see continued greater move towards lease and PPA as the adders come in than we anticipated, say, towards the end of last year.
Joseph Osha: Okay. Thank you very much.
Operator: The next question comes from Mark Strouse from JPMorgan. Mark, your line is open. Please go ahead.
Mark Strouse: Yes. Good morning. Thanks for taking our questions. Just a follow-up to Joe's question there. On the DOE loan guarantee. I know it's a bit speculative right now. But generally, when we model that should we think about that being more of a spread expander margin expander or more of an addressable market expander?
Robert Lane: I think you can look at it more as a spread expander. I think that what's wonderful about this is that most of these markets we were already heading into. We already have over 40% of our fleet would be qualifying as low and moderate income. We've already are obviously very strong in Puerto Rico and in the other island markets. So it's not as if we had to take a full pivot from our strategy. It is just helps us to expand and enhance our strategy. I mean, we believe and in our conversations with the DOE that the reasons that we were able to be able to get to this point at this time was really because we have had such a hard focus on service, and that's really what's missing. If you're going to be going after and trying to bring solar to communities where the financial markets have yet to be able to accept it into securitizations, you need to be able to show them that, in fact, that is what you can bring and that it's not going to be something that they're going to take a big loss and have egg on their face. This is anecdotal, but our internal research bears this out. And this is from some very large investors in our space that about 75% of nonperformance of loans is due to nonperformance of systems, not due to the credit quality of the underlying customer. So it all goes back to something that John has said since the day he's founded this company, which is service matters. And it is the reason why we're able to do this with the LPO and it's why we believe that they have the faith in us to be able to bring our emerging technologies to folks so that they can not only get that better price but get the better service at that better price.
Mark Strouse: Okay. Thank you. And then just as a follow-up, can you just give us the latest in California kind of where your NIM 2 backlog stands and what you've observed over the last several weeks selling under NIM 3?
William Berger: Mark, I'd say this, obviously, California matters a lot, lot less to us than it does to some of our major competitors. And so did we see a move quarter-over-quarter if you took the same March? And it was really more in the March for us. I don't know about any others, but we didn't see a huge increase in Jan-Feb and then it was March. So if you look at March '22 to March '23, it was up at least 30% year-over-year. And that's an overall Q1 number. So March is probably up more like 50% or so. If you look at the backlog, we think that will start to flow out, just given the huge amount of backlog out there that if you look at the interconnection and so forth, that probably carries is really not going to show up in our count, probably really to the fourth quarter. That would be my guess, maybe a little bit in the third and then spill into next year. I would say that in terms of California, look, it's very - this is a very small amount of data, but I know everybody wants it. So we'll talk about it is essentially the last few days, we've seen, as you would expect, post the 15th a fairly steep drop. I mean I think the first few days there was like a down 60%, down some cases, 70% or so in customer origination, but it's been a very sharp swing up too. Now I was looking at it just yesterday, is maybe down 30% in California, but climbing quickly. Interesting, yes, the TPO zoomed up, by the way, but the storage attachment rate went up multiples, as you would expect. So we're starting to see something like north of 60%, 70% attachment rates in California. So I know some others have talked about, hey, as NIM 3.0 goes, it's going to be great for storage, equipment sales and obviously, our service. We had at least very early days. I wouldn't extrapolate too much on this, but very early days shows that that's proving itself out very quickly. So we do expect to see a very high attachment rate in California given the, again, early days of data that we're seeing, and we expect that market to - it might surprise the upside. We've baked in a lot of pessimism. And again, it's not a big market for us and begin with, but it's surprising, I think, to the upside from, again, for the last few days of data that we've seen.
Mark Strouse: Okay. Very helpful. Thank you.
Operator: The next question comes from Kasope Harrison from Piper Sandler. Kasope, your line is open. Please go ahead.
Kasope Harrison: Good morning, everyone. And thanks for taking the questions. So I think, Rob, in response to an earlier question that Mark just asked, you indicated the DOE loan will primarily expand your spreads. And so maybe just following up on that question, can you walk us through the implications to the liquidity forecast on Slide 12? Could the negative 100 for 2023 to become zero in terms of changes in corporate capital? And could that zero for 2024 become positive?
Robert Lane: I'd love it, certainly, if that were the case. I don't believe necessarily that that is what we expect to see is higher advance rates, generally speaking, on the Hestia program, but it won't necessarily give us higher advance rates on the TPO program. And likewise, what we would expect to see is really we've had much higher growth. And I think that's one of the bigger drivers right there. We're taking this opportunity that we've been afforded and we're pushing it into higher growth. Or at least we're not turning away the higher growth that is coming towards us. So it feels that the origination that we're putting in today is really a lot of that is going to end up showing up in 2024 as customers. So in this program from the LPO is going to extend over several years. So it's not like this is all getting deployed this year. In fact, I think it should be said that this next deal that we're doing in the loan ABS market is not on the Hestia programming, it is on the Helios program. And we anticipate that we'll be in a position for the next transaction that we do for that to be on the Helios - on the Hestia program, but it still could be on Helios. So we want to make sure that we are working very closely with the DOE to make sure that we get everything buttoned up so we can start issuing under Hestia. But there's still some things that are left to be done, and we want to make sure that we're doing everything right that we're doing everything that there's really no holes to be punched in it later if there's someone who wants to pick a fight with it. So the short answer here is a lot of what's happening now is still driving the growth, it's still driving customer count for next year and our growth still remains very robust. So we're comfortable with the liquidity side as it stands.
Kasope Harrison: That's helpful. Thank you. And then just maybe as my quick follow-up, and maybe you kind of alluded to this already. But what do you see as the barriers to competitors gaining access to the DOE loan guarantee. Is it just a lower delinquency rate that comes with your service offering? Or is there anything else? And then do you think it's also possible to get a guarantee for leases? And I'll leave it there.
William Berger: Yes. Kas, what I would say is that let's focus on why the Department of Energy Office chose us. As Robin has been talking quite a bit about its service, and that was the big one service. It's also software. So our Sentient software and some of the other features on the carbon content of the utility power grid power. Those are all very unique and specific to us and then the contracted cash flows, right. To have that there and have those cash flows come in for 25 years and how many we have, which is now just south of $11 billion of contracted cash flow and climbing quickly. Those three things gave in the comp is why choose Sunnova. And are those unique to us? Yes, they are right now. But to be clear about it, I think this is a broad win for the industry. And we would - to somebody else, and I know there's been some questions about that and it gets into the - can you do it with leases. You really can't with the standard way we do the tax equity, that's not something that the Department of Energy really wanted to get behind tax equity investors and so forth. But there's maybe a way to look at those down the line once the tax equity essentially is fulfilled or something of that nature. But we're taking a look at that. You never say never, but I would say that this right now is primarily focused on the loan side, it's possible. And more importantly is we are encouraged that this is a win for the industry. Can somebody else get the DOE Hestia program? I would say it is very possible. We expect the Department of Energy to hold them to the same high standards that they held us which I know they will. And I will offer this up. If we can offer our service and software and other things, anything we can do to facilitate even one of our competitors, particularly one of our loan only that to be able to apply for that program and be qualified, we're certainly willing to do that. We think this is a big win for the industry. Cost of capital advantage is but for a period of time, and we're really focused on differentiating as a service provider with that software underpinning that. So we've always said financing as an enabler. We stand by that through thick and thin, and it's enabler. It's not who we are. And we want to do what's best for the country and for the industry. And I think this - it puts us on the same quality of credit almost that the utilities have. And it's not like the utilities do a great job. They just have a credit wrap no matter what state you're in, including Texas, the utilities have socialized the losses of those folks who don't pay their bills. So this is a step to equalizing and having equal treatment behind the meter, in front the meter. And anything we can do to help the rest of our side of the industry, be able to have that equal treatment, we are very supportive of.
Kasope Harrison: Thank you.
Operator: The next question comes from Sophie Karp from KeyBanc. Sophie, your line is open. Please go ahead.
Sophie Karp: Thank you for taking my questions. And congrats on the quarter. So maybe if you could - going back to the question of how different states before going into 2023. You guys commented that you saw very strong growth in Florida and Texas. And this is perhaps counterintuitive just looking at what the power prices have done in those places, right? So if you could comment on how you achieved that growth or how your sales is going to be tilted in the sales pitch? And what adjustments had to be made to continue selling successfully and growing in these geographies where others have struggled? So I'd be curious to hear that.
William Berger: Sophie, I think first and foremost, we've never fallen in love with one type of financing or product type over another. We have the broadest set of products, the best family of products available to our dealers and to our customers, and that's hands down. There's no one close. And so that's really given us the ability to win the market inflects very quickly one way or the other in this case, with interest rates, disadvantaging loans relative to the huge maybe advantage that they've had previously to lease and PPAs, we didn't miss a beat, right? Just click on something else. It's really that simple. It's right next to the loan product in terms of the lease and PPA product. So I think we had just our business model and the way we thought about things over the years and prepared for something like this, we were the best prepared. So I think that's first and foremost. I would also say and remind folks - we've seen some price declines in like the semi deregulated markets like Houston here and Dallas. But other markets like Florida has gone up still and hasn't had much of a price break, if any. And so it's still pretty high. And is it lower than a market that's crazy high from these utilities that are gauging prices on consumers like in California? I mean, no, but it never has been. I don't think it will be. And so when you look at places like Georgia, for instance, I mean, [indiscernible] is going to add, what, $0.45 to a rate that was at one time, $0.10-$0.11 it's moved up. Those are big, big numbers and big moves percentage-wise. Remember, these customers in these areas like Houston, for instance, has the highest amount of power consumption per square foot for an average home than anywhere else in the country. So these are big, big power consumer areas. And so I don't think that, coupled with - in terms of the price decrease is not really being too many price decreases from these utilities that are really monopolies and are not good at cutting price. I think the history shows that measured in decades. When you look at that and you look at what we're seeing in terms of deflation of cost out there and looking for better cost and price points and batteries, et cetera. I think that overall, you're seeing a pretty growth underpinning picture here. And that's what we've seen. The data doesn't lie. That's what we're seeing out there. We're expecting more and more of that growth. And again, we're broadening out of those states as well. So getting into states that, like I said before, I didn't think that we would be seeing this kind of growth in, we're seeing it. And so it's not just the states, it's much broader than that. Again, you can see that through the data and the upcoming data as we start to register more and more states for growth. So I just think that there is probably not a good data signals here from other folks, and we're seeing the strong growth and the fundamentals underpin that growth.
Sophie Karp: Thank you. My other questions have been answered. So thank you so much.
William Berger: Thank you.
Operator: The next question comes from Ben Kallo from Baird. Ben, your line is open. Please go ahead.
BenKallo: Hi, thanks for fitting me in here. A couple of quick ones. Just on the cadence of customers because Q1 was a big customer growth, seasonally weak. So how do we think about the rest of the year?
William Berger: Ben, it's definitely going to go up. And do I think Q2 is on track to beat Q1 most definitely. And then I expect to see bigger Q3 and bigger Q4, and that's been year in, year out. When you have this kind of growth rate, I mean, we're growing at 97% quarter-over-quarter. You should expect to see not only the customer count being the third and fourth quarter. So is there a potential upside to even this? Yes. And when you look at the financials that follow it, they tend to follow because you have to spend the money ahead of time for the growth right before it shows up. I would expect to see just as we've laid out from the beginning, and including last earnings call that our financial metrics, both due to the growth, the dynamic and because of seasonality will show up in more in the second, third and fourth quarter. So I think we're well on track, and everything is upwards into the right.
BenKallo: And everyone - a lot of people out there were worried about the whole finance capital markets access for you guys. But for the dealers, and I think that you added the most absolute dealers since you've been public in the quarter. So could you just talk about the health of dealers?
William Berger: Yes. We've seen some strength out there for certain, and we've helped some folks work out their problems with other dealers that we didn't have and so forth. And we'll continue to see some of our service-only business grow in that area. We've got 10 years of experience of managing dealers that may not manage their business as well as they should and so forth and staying on top of them. We've created things like duration holdbacks. Those are creation of ours that are now being adopted across the industry. This is if the job stays in the duration too long, we actually call it back against other payments. And so we're very happy to see others copying that finally and being more, I think, responsible for investors' capital. So we're seeing that. And I think - look, dealers are running to the safety of Sunnova. And we have our own working capital. A lot of folks borrow the working capital, which can get flipped off at a moment's notice given the dislocation in capital markets, which has happened, right? If you look at the banking system and so forth. We're not dependent on that. So we're in a very, very strong financial position. And frankly, the dealers know it and contractors know it that want to become dealers. And we see a huge amount of demand. I will say this, I am surprised at this point as we are in the peak selling season, how many dealers, sub-dealers that we have across the Board in all of our channels in the queue waiting to become a dealer? It is very heavy from what I've seen in my 10-plus years of experience. So I think that folks are running this to the safety. Is that meaning there's not other areas of our industry that are not safe to go to? I'm not saying that. There are. I'm just saying that if you want to come to Sunnova had the broadest product portfolio, don't worry about whether it's a loan or lease, just do what's right for the customer. We now have a great program in Hestia if we get that finalized, which we expect to and expect any issues. And then we have the ITC adders. And so you choose what's best for the customer. We have the working capital for you, do your job, go and sell customers, make them happy, get the installed done quickly, and you will get paid. I think that's clear that our model, again, our financial strategy is superior in this type of market.
BenKallo: Just moving on quickly to international. There was a LinkedIn you're hiring someone sales in Germany. Would you talk about that and what that means?
William Berger: Well, as always, you do your homework. Yes. Yes, we are. So if you know somebody that is a really good German sales manager, we'd be happy to talk to him over. We're interested in that. We are preparing our systems, our people, we've had managers starting to move over there. And we're preparing. We're going to be a very - take it very cautiously. We obviously don't need the growth, but we see huge growth over there in other countries. And we're going to take it slow. Maybe there is an acquisition that we can do to accelerate our entry there. But it's something we're going to be very judicious and cautious about to make sure we don't use up any necessary working capital and such that we need over here for our growth. But we are moving. The ship is moving very slowly, but we are moving in that direction for certain. And I hope to be able to talk about - much more about that in the next couple of earnings calls.
BenKallo: All right, I'll leave it there. Thank you, guys. Congrats.
Operator: The next question comes from Brian Lee of Goldman Sachs. Brian, your line is open. Please go ahead.
Unidentified Analyst: Hi John, Rob. Thanks for taking the questions. This is Grace on for Brian. I just have a - just a follow-up to one of Mark's questions. Just trying to understand the potential upside to the 600 basis point spread you mentioned in the prepared remarks. I think in the past - in the last quarter, you mentioned like all the others together represents about 250 basis points in spread. And now you have the DOE loan guarantee, which is like spread expander. So just trying to understand the potential upside 200 to 600 basis points, do you see a path towards like, say, 80 or 90 spreads in the next 12 months?
William Berger: Grace, no. I think 600 is about - we've said long term, we expect it to settle around the 500, maybe a touch lower. 600 is where we think we can be with this part of the energy transition or transformation of the U.S. power industry, energy industry and global energy industry. But look, even - you see this on the equipment side, you have the best equipment in the world, but there's a willingness to pay limitation. And so we have the best service in the world. We recognize that we can't push our margins to crazy levels or there is a lack of willingness to pay. So is it possible, we did see a little bit of a couple of prints there a couple of quarters where it was above 600 for a little bit there? Yes, it's possible, but I would not have shareholders and investors expect that to be the case. We certainly don't expect that to be a case. That would be a pleasant surprise. Again, everything, there is a willingness to pay. And as they say, and when you're trading, pigs get fat, hogs get slaughtered.
Unidentified Analyst: Thank you. I'll pass it on. Thanks.
Operator: The next question comes from Pavel Molchanov from Raymond James. Pavel, your line is open. Please go ahead.
Pavel Molchanov: Thanks for taking the questions. Let me address one of the kind of proverbial elephants in the room. Ever since Silicon Valley and Credit Suisse went under, there's been a fear that banks will simply stop lending at any interest rate to renewable solar included. Have you seen any evidence of a lack of appetite to lend into the solar space?
Robert Lane: No, we have not. And we have had a number of folks who have reached out to us about expanding existing relationships about coming into our program about telling us that they've been approved after a couple of years of work, and now they want to make sure that they're in our program. It has been very gratifying to see that strength. And again, to be clear, even for entities such as Credit Suisse, they do now have a very strong backdrop. The Silicon Valley Bank did get support from the U.S. government. We really never saw any sort of interruption from our - within our programs. And we still continue to have very strong partners there on all fronts. But as you - as I did say in the prepared comments and as you've probably seen in some of the 8-Ks, we have been increasing our warehouse capacity. So we added another $0.5 billion of capacity this quarter alone, and we anticipate the ability to add more here as well as we move on, and it's been with a more diversified group of lenders, which is underpinned by the incredible support that we're getting out of Apollo and Atlas SP. So we're very pleased with our access to capital as it stands right now and have noticed more demand to be able to provide capital for us, not less.
Pavel Molchanov: Let me follow up about utility pricing. Last year, double-digit increases in utility rates across the board, do you guys raise prices along with that. Now that there is some stabilization and potentially even ticking down in some states, I assume you're going to be careful not to get ahead of your skis in sort of over pricing your product relative to the utility, correct?
William Berger: That is correct.
Pavel Molchanov: So geographically, where is that risk of overpricing maybe the greatest?
William Berger: Well, I think there's a couple of different answers there. If you look at, for instance, California rates, whether they try to disguise it as a fixed fee or just a kilowatt hour rate. They're really crazy high, and they just want to just push them higher on consumers. And so consumers need choices. So I would say that we actually have a bit of a diversion to that because we just see it as ridiculous with a monopoly abuse of power that's being allowed to persist. And so we've been very cautious on that because we see long term that those rates are unsustainable that these monopolies are charging, the system, the regulatory system will change that consumers will get choice. As opposed to other states like Texas and so forth, even if they are the same kind of monopoly power abuse that you see out there and rate strong - then it should be rates, but they're lower. So again, when you move $0.01 or something on a $0.10 rate or a $0.14 rate, it matters more percentage-wise than moving a $0.01 on a $0.28 rate just math, right? And typically, the ones that have the lower kilowatt hours are typically have the bigger bills because they consume more power, right? So think in the South versus the Northern California, for instance. So there's a lot of room in some of these areas on the kilowatt-hour rate basis. But as, again, as equipment pricing falls, we get back in that deflationary trend, which we solidly see - we've talked about that and you have more of a competitive markets and so forth, labor springing up, et cetera. Then I think that we'll see the ability to get underneath and continue to have the ability to get underneath these relatively "low rates" and because you can get a lot more scale on a per customer basis. So if you're putting on a 5-kilowatt system in maybe Northern California are 6, it's not atypical to see something like 12 or 15kw on something in Texas and Florida, for instance. So there's a little bit of economies of scale there or a lot of economies of scale that are going with you to be able to help the economics there to still hit your targets and still generate savings for consumers.
Pavel Molchanov: Appreciate the details on that. Thanks.
Operator: The next question comes from Ameet Thakkar from BMO Capital. Ameet, your line is open. Please go ahead.
Ameet Thakkar: Hi, good morning. Thanks for sneaking me in. John, I think you kind of just alluded to this maybe about a second ago. But just thinking about - and I know California is not a big part of your business today, but just thinking about kind of the implications of like the fixed charge rule making out in California under, I guess, AB25, it would raise maybe overall builds for everybody, but it would seem to reduce the variable portion of their bill. I was just wondering how big of a headwind do you kind of anticipate that be?
William Berger: Well, I don't think anybody expects to get the egregious proposal that was put forth by folks. And how would you even implement it? I mean it's just crazy. It's just nuts. And evidently, people that make, I think, more than $130,000, $150,000 "Rich." I mean anybody ever been to San Francisco and see what the cost of living is there, explained to me how that's rich. But outside just the - I think just unrealistic clearly proposal that is in so many ways. I think what you're going to see very clearly is that could people could customers cut the cord? Absolutely. And I know that sounds crazy. We're running 32,000 customers in Puerto Rico post Fiona for a week without any grid power. Why couldn't we do it with the same load factor in California. And these folks that if you look at these fixed charges that were proposed, that buys a lot of batteries today, let alone how many batteries they'll buy by the end of the year or next year or the year after that or even certainly five years. So look, again, there has to be some reasonable and fairness that's put into this and the utility, you just can't spend whatever other people's money and then put some adder on top of it, take it home and go pay the CEO, lots of money. I mean it's just there needs to be a break on this, and that break comes in the form of capitalism, consumer choice so that consumers can pick what's best for them. So our model is geared for this. And you're going to see some things out of us as we move forward that are going to give us a huge competitive edges in the marketplace. But we see - we don't think that, that's going to pass. It's not going - shouldn't pass. I don't think one renews anybody else is going to let that anything close to that path. But if it does, in the worst-case scenario, we're prepared for it. And we'll take - I guess, at that point, we will take a lot of market share in California.
Ameet Thakkar: Great. Thanks.
Operator: Next question comes from Sean Morgan from Evercore. Sean, your line is open. Please go ahead.
Sean Morgan: Guten Tag, John and Rob. Thanks for taking my questions. Just really quickly on the DOE program. I think that there's announced in the project Hestia there's a 680 cap. And you guys talked a little bit about the tranches that you see developing. And it looks like the DOE will have you guys maintaining - I mean it looked like 10% versus the [$3 million] that they're putting up. And then of course, you mentioned the $4 billion to $5 billion of total project capital financing information that you see from this program. So two questions, basically, do you see the FICO scores in the program kind of clustering around that 680? Because I think it's about 33% of FICO scores are sort of below that 670 level. So I'm just wondering how broadly you see the TAM expanding as a result of this program. And then also, how do you - where does the additional $1.3 billion of capital come in above the $3.3 billion that was sort of announced with your $300 million plus the $300 million set. Is that going to be outside ABS? Or where does that capital come from?
Robert Lane: Yes. Good question. First off, just for clarification. It's not a cap. Really what they're asking for is that a certain minimum percentage below that FICO level. So that's actually we're already there as far as our origination. And then there's a higher target that is - I would not call it aspirational, I would call it extremely achievable with us making small adjustments to our factor requirements. We're certainly going to look to broaden the tent if we can for solar users. So I would expect, again, that our weighted average FICO will, in fact, come down some, but that for that partial guarantee class of investors that it's not going to mean as much or really much of anything at all. Really, they're going to be looking for make sure that we keep the systems up and running. So the systems themselves are performing and that we're standing by our service guarantees. So that's how to address that piece of it. As far as the rest of the market, we're still going to be able to put our other origination into that program. So you're still going to see some very strong, very robust origination go into there. So even for the nonguaranteed portion of the loan, if you would, a BB perhaps class that would go behind the initial - the A class of loan. There's still going to be an incredible amount of strength in there, we believe. And we've really never had a problem making all of our investors hold and making sure that we are making sure that we have our customers paying. And then what we do, we do in fact, do loan substitutions. If we don't notice a trend about a certain type of origination class where we can narrow it down to some root cause, maybe a specific dealer or something like that in a specific jurisdiction of specific FICO, we'll start substituting those loans out if they end up underperforming. So the other piece of it was where does the rest of it come from? We're really sort of looking at the damage between loan balance and capital. If we can perform correctly, and we get very high advance rates, then it will support a lower volume of loans at the end of the day, if we have a lower advance rate because the base rates are much higher, even if we're able to bring the spreads in, then it will not support as high of - it will support a higher amount of loan volume. I know it sounds counterintuitive, but just simple math of getting a 75% advance rate versus a 60% advance rate. But the fixed dollar amount is the same, then it just goes further to the lower advance rate. We are going to be getting for the higher advanced rate. I mean that is exactly how we would be doing our business and how you would expect us to manage our liquidity and then the balance comes in part from the dealer fee. But remember that dealer fee is there so that we were able to provide the service to the customer is a full service loan where we are actually out there providing full O&M service to that customer and not just providing billing and collections. We're providing the technology as well. So it all gets wrapped up into that dealer fee.
Sean Morgan: And then on the DOE, the customer adds that you increased the midpoint by 10,000. Does that include the DOE, I guess, benefit of sort of increased customers? Or is that sort of excluding DOE impact?
Robert Lane: I think largely excluding at this point. Again, I think that the DOE impact there is, yes, it broadens it out on a large base that we have and the amount of growth that we have just in aggregate. I'm not sure it will make a huge - I mean it will be some difference, but it will probably start to show up later on, say, Q3, Q4 and then those customers would be the customers who would recognize in 2024. So I think largely, just simplicity, it excludes it.
Sean Morgan: Okay. All right. Thanks. Thanks, John and Rob, look forward to that [indiscernible] Analyst Day that hopefully will be coming up at some point.
Operator: The next question comes from Corinne Blanchard from Deutsche Bank. Corinne, your line is open. Please go ahead.
Corinne Blanchard: Hi, good morning. Most of my question have been on service, but maybe two quick ones, the first one on cost. How should we think about it for 2Q and 3Q? I'm assuming you would have maybe some extra expense for training. We have heard it from some of your peers saying they expect to have some training period for the dealers for them to be able to sell more battery in the different business model. Do you expect that as well?
William Berger: We do. We've been doing that for a while, and we work in conjunction with our OEM or hardware partners, they provide training as well. And that may be where you pick that up. I wouldn't say that it would be better rounding year on our expenses in terms of the training.
Corinne Blanchard: Okay. And then the last one, what - to see the EBITDA guidance increase it from this year, what do you need to see, just trying to see like where the upside could be?
William Berger: I think that in terms of gain on sale, that's continued to increase. You can see that in our numbers. We expect that to increase quite a bit. We want to see, as Rob said earlier, the ITC selling the ITC rules be very issued and be clear. And I think it's really clearly just a balance between growth spending and once you want to print on that particular quarter. So we still see the very profitable strong growth. And so we're likely to continue this trajectory. But that being said, we actually spent less money than we expected in Q1, as we said, and that's probably going to be the case. We're very disciplined as far as spending firm. And so I think that yes, it will increase, but you shouldn't expect to see huge increases.
Corinne Blanchard: Okay. Thank you.
Operator: The final question we have time for today comes from Andrew Percoco from Morgan Stanley. Andrew, please go ahead. Your line is open.
Andrew Percoco: Thanks so much for squeezing me in. Most of mine have been answered, but just one quick one on the commercial business and the outlook there. Obviously, a lot of concern around the commercial real estate environment in the U.S. because of the exposure to the regional banks. So just wondering if there's any pivot or strategy change on the commercial side of the business?
William Berger: Andrew no, that's actually going very well. It takes a while to get that growth channel moving, but we've got some backlog, and we're working on - we're seeing a huge amount of potential out there, bigger than we thought. And so we don't see that the financial - the adjusted EBITDA and the NCCV will show up till really probably 2024 or 2025. But that channel continues to really show a lot of growth. And so no strategy change, but frankly, it was probably well timed to launch that growth endeavor.
Andrew Percoco: Thank you.
Operator: This does conclude today's Q&A session. So I'll now hand the call back to John Berger for concluding remarks.
William Berger: Thank you. As you've heard today, our growth is broadening in geographies and services, and this growth is strong, profitable growth, not growth at any cost, which underlines our commitment to sustainability and a long-term view. As our strategic plans and growth initiatives continue to bear fruit, we possess a growing confidence in the intermediate and long-term growth of the company as we work hard to change the global energy industry, create long-term value for our shareholders and become the preeminent energy as a service provider. Thank you.
Operator: This concludes today's call. Thank you all very much for your attendance. You may now disconnect your lines.